Operator: Good morning, ladies and gentlemen. Welcome to RF Capital’s Fourth Quarter and Year End 2022 Earnings Conference Call. I would like to turn the meeting over to Mr. Tim Wilson, Chief Financial Officer. Please go ahead, Mr. Wilson.
Tim Wilson: Thank you, and good morning, everyone. Welcome to our fourth quarter and year end 2022 earnings call. As a reminder, this call is being webcast and available for replay. I’d also like to remind you that our remarks may contain forward-looking information and actual results could differ materially. Forward-looking information is subject to many risks and uncertainties. Certain factors or assumptions applied in the forward-looking information can be found in our latest AIF and MD&A. These documents are available on our website and at sedar.com. This morning, I am joined by our President and CEO, Kish Kapoor. Kish will share key takeaways from our most recent quarter. Then I will cover our detailed financial results and our financial outlook. Kish will end with closing remarks, following which we will open the call to questions from analysts. If you have questions once this call is complete, please reach out to Investor Relations. Our contact information can be found at the end of our earnings release. I will now turn the call over to Kish.
Kish Kapoor: Thank you, Tim. Good morning, everyone. 2022 as a year of change, disruption and progress of Richardson Wealth. We expanded and enhanced our physical footprint, through Fidelity, we outsourced our back office and technology needs, transform a portion of our cost structure from fixed to variable and reduce the need for future investments in technology.  We endured challenging capital markets while posting record results in the last three quarters and our diversified revenues now include recurring fee-based revenue, corporate finance, interest income and insurance revenue. Our transformation is always complete, but it hasn’t come without challenges, especially in transitioning to Fidelity. Post conversion, we have many growing things that include the ongoing refinement of processes, enhancements to systems, improvements to service standards, development of new policy and procedure manuals, and more generally, a significant effort required by all to adjust to the new platform. We are deeply indebted to our advisers. Along with their associates and assistants, our branch and management teams and our corporate staff for the enormous effort they are devoting to adapt to the new systems. We thank them for their patience as we work closely with Fidelity to get to steady state as soon as possible. When this work is complete, I am confident that we will have a platform that will provide us with the scale and capabilities to compete and achieve our ambition to triple the size of our business. With Fidelity, we now have a partner that has the financial capacity to make significant ongoing investments to their platform and technology, including the use of robotic process automation to enhance state through processing to meet our needs for years to come. As the largest client in Canada, I know we have the full time and attention to make this platform the best it can be for our advisers and their teams. Amidst all this change aimed at a better tomorrow, we are seeing progress on several fronts today. We grew our recruiting pipeline to $23 billion, which shows we are seeing more interest in our brand. Many potential recruits attend our due diligence sessions and leave impressed by our people and our willingness to take bold risks to enhance our platform to better serve our advisers and their teams for the long-term. In addition to Fidelity, we made substantial progress in 2022 with a strategic priority of doubling down on adviser support by launching a succession planning framework for our advisers continuing to roll out Richardson Wealth Masterclass practice management and training series, and introducing the investment portfolio management system among other initiatives. Q4 was also marked -- while Q4 also marked our move into our Platinum-LEED certified new headquarters on Queens Key, the modern design balance with recognition of our history, the breathtaking views of Lake Ontario and the energy created by having so many of our staff and advisers back in the office, makes it a spectacular space in which to be running our business. I would like to thank Scott Stennett, our Chief Operating Officer and his team for the extraordinary work they did to get us here. In addition, Scott and team significantly renovated our spectacular offices in Calgary, consolidated our Mississauga and Oakville into a new Burlington office last year. These premises, along with our adviser support tools and programs, are critically important to Richardson Wealth strategy, which ties directly to AUA, revenue and EBITDA growth. These initiatives are also fundamental to building a business of the highest quality. On our last call, I acknowledge the eighth of our advisers who remained to SHOOK Research at The Globe and Mail’s list of Canada’s top 150 wealth advisers. With the subsequent publication of the provincial rankings, I am pleased to share that 24 of our advisers were awarded best in province. They include, from Alberta, Rob Campbell, Marshall Drozduk, Brad Gustafson, Brad Hunter, Tricia Leadbeater, Jeff Mackie, Kathy McMillan, Susan O’Brien; and from British Columbia, Rory O’Connor and Greg Phillips; from Manitoba, Benji Miles; from Quebec, Joseph Bakish, Cielo Carin, Antoine Niding and Mark Tetrault; and from Ontario, Fred Banwell, Tai Cook [ph], Andrew Feindel, Rosemary Horwood, Craig Machel, Diana Orlic, Simon Partington, Tim Pritchard and Dustin Van Der Hout. We have consistently believed that our performance reflects our adviser’s success, I am incredibly proud of everyone on these prestigious lists. On January 1, 2023, or Capital was also welcomed David Porter to the Board of Directors as an investment adviser representatives. Our entire company was invited to take part of the election and David was appointed to the Board with the backing of adviser teams representing 82% of AUA and 383 employees. David has over 20 years of experience as an adviser. He runs a very successful practice and we expect that we will offer great value to our Board with a lens of an adviser. Turning to our financial performance. Our capital delivered record performance in revenue and adjusted EBITDA last year, our second full year operating as Richardson Wealth. Revenue growth was 8%, a solid result given the performance of equity and fixed income markets in 2022. While our period ending AUA was down 5%, average AUA was up 4%, which contributed to growth in fee-based revenue of 5%. Reflecting the progress that we have made moving to a more fee-based model, these revenues represented 88% of commissional revenue last year, up from 86% in 2021. Average AUA grew in 2022, because of a few factors that aren’t reflected in equity and bond market performance. In addition to recruiting, our advisers have brought in $2.2 billion of new assets both by deepening existing client relationships and attracting new ones. Revenue growth was also supported by increased diversity in our revenue streams. Interest revenue was up 137% in 2022, which was largely driven by higher benchmark rates. Insurance revenue was up 232% in 2022. Insurance has been a great contributor to our profitability and an excellent example of the impact new revenue streams can make on a platform of this quality and scale. With revenue up 8% in 2022, adjusted EBITDA increased 21%. This shows the kind of operating efficiencies our platform can deliver over the long-term as we were able to keep adjusting operating expenses growth to 5%. Looking at Q4, while we couldn’t invest our record revenue from Q2 2022, we delivered our third consecutive quarter of record quarterly adjusted EBITDA. I think our listeners would agree profitability trumps revenue growth. With that, I will turn the call over to Tim.
Tim Wilson: Thanks, Kish. Revenue reached $354 million in 2022 and $89 million in the fourth quarter. Q4 revenue was up 3% over the prior year. Looking at some components of revenue, while insurance and interest grew significantly relative to the prior year, we had a slightly offsetting impact from lower corporate finance revenue as equity financing activity decreased from 2021. Adjusted operating expenses increased 5% in 2022 and 2% in the fourth quarter. This modest overall rate of expense growth reflects our focus on cost control and the fixed costs that we have embedded in the business. We have incurred some increases in expenses with more employees coming back to the office and increasing the frequency of travel. But at the same time, we have managed to restrain headcount growth and be judicious about our discretionary expenses. Also helping keep expense growth low was the fact that we realized some of the anticipated Fidelity savings before the official conversion date, as people left the company early for a Fidelity or to pursue other career options. In fact, between late 2021 and the end of 2022, $2 million of costs filtered out of the company as people left. Adjusted EBITDA increased 21% to almost $62 million on a full year basis and increased 38% to $17 million in the fourth quarter. These growth rates underscore the high margin nature of our diversified revenue streams and the operating leverage in our business. Our financial position remains stamped. As of December 31, 2022, RF Capital had $95 million in working capital and undrawn capacity on our revolving credit facility. We believe that our balance sheet is in good shape and we have excess capital that we can invest to grow the business and deliver shareholder value. During 2022, over 61,000 shares were purchased under our NCIB and 26,562 in Q4. Although the program has been successful, we do not intend to renew it. We continue to believe that the market will not always price our shares at a level that reflects their fundamental value, but we also believe that we have other high return and more strategic investment options, as well the NCIB reduces their flow, which as you are aware, is already a challenge for our stock. Turning to our outlook. We expect to grow adjusted EBITDA by just over 10% in 2023. Our outlook is for continued growth in average AUA. With that, we are assuming that equity and debt markets remain flat and that we realize AUA growth as we recruit new advisers to our platform and as existing advisers bring on new clients. We have forecast that interest revenue should follow the same pattern as the yield curve, which would indicate that it stays around Q4 levels with the potential for a slight tapering towards the end of the year. Our base forecast is that insurance revenue will be lower than last year due to the one large sale that we made in Q2 2022. We are still very encouraged by the long-term outlook for this revenue stream and are targeting for it to be 7% to 8% of revenue within five years. While we expect operating expenses to increase in 2023 as we invest in growing the business, our expense ratio should decrease. Again, this reflects the operating leverage we can generate because of our partly fixed cost base. Now I will turn it back to Kish for closing remarks.
Kish Kapoor: Thanks, Tim. For those of you who have read our MD&A, you will see that we have maintained our operational goals of $100 billion in AUA and $200 million to $300 million in EBITDA, but we set a new time frame of three years to five years to reach these targets. The primary reason for this extension was the market volatility that we experienced in 2022 and which we expect to continue into 2023. We had a market -- we had market headwinds in early years of our transformation that we hadn’t originally expected. Our growth strategy is unchanged. We plan to continue doubling down and supporting our advisers and supercharging recruiting in 2023 and then starting to acquire or partner with like-minded firms in late 2023 or early 2024. In early 2023, support for our advisers is primarily going to be focused on completing the Fidelity transition. We expect that -- after that the pace of adviser recruiting to pick up some steam. We think for the last pillar in our strategy to acquire or partner with like minded firms to start getting more attention internally as the year progresses. There are many other firms that share our values and a quality client base that we think we can partner with or acquire and we are building a view of the most accretive and strategically valuable for these opportunities. We are excited to think about the value that acquisitions can add by allowing us to add more scale to our business or to add new capabilities like asset management. There have been very interesting developments in the Canadian Wealth Management industry lately. One of our peers is in the midst of a transaction and independent valuation suggest a reasonable multiple for a Wealth Management firm is between 2.3% and 2.7% of AUA. If this represents the average transaction range, then we should be very encouraged. Richardson Wealth is an established and high quality operations with stable and growing revenue and profitability. The question that remains is, how do we get there? As a management team and the Board, we are aligned on this value creation process, we must execute on our strategy and this execution needs to flow through to our financial results. We have started to show our potential, but there’s more to come. We spent a significant part of the last 24 months, building and reinforcing our digital and physical footprints. This has required significant investments and significant disruption. Now it’s on us to prove these investments will propel forward to our financial goals. As we continue to build and grow our business, I would like to thank our advisers, their teams and their clients our employees and shareholders for your loyal support. We are relentlessly pursuing continuous improvement and we are willing to be bold in order to meet our objectives. Our team is in the throes of grinding through some of these significant changes, but I believe our reward is much closer than it feels. Thank you all for joining us today and I look forward to updating you on our progress. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] And the first question is from Jim Byrne from Acumen Capital. Please go ahead.
Jim Byrne: Hi. Good morning, guys. Just a couple for me and maybe it’s more for you Tim. You talked about your assumptions with the 10% EBITDA growth for this year. Maybe just give us an idea what that means for maybe a bottomline EBITDA margin, where you think you can go from here. You kind of bounce around that 19%, 20% number, is that a good ratio for next year, you talked about expense ratios coming down. So I just wanted to get an idea of what you are thinking for margins.
Tim Wilson: Yeah. I would think 20%, just a little bit on either side of that is a reasonable range to work with, Jeff -- Jim, sorry. Over the long-term, as we said, we would like to get that up to closer to 25%, but I think that will be a couple of year journey to get us there. And that we will realize that as we continue to grow our revenue streams like insurance and as the corporate finance part of our P&L starts to bounce back with market activity.
Jim Byrne: Yeah. That was kind of my next question. I guess if we do see a change in the -- on the -- in the equity markets, maybe in the back half of the year that would be kind of gravy to your assumptions?
Tim Wilson: That’s exactly right. We have assumed very modest growth over a weak 2022. So if market activity does rebound a little more than we expect, yeah, that is gravy to us.
Jim Byrne: Okay. Perfect. And then maybe, Kish, obviously, I appreciate that the growing pains with the Fidelity conversion. Maybe just give us an idea of what you feel like is a reasonable time line to kind of get up to full speed and really start to garner some of those benefits that you anticipate with the final conversion?
Kish Kapoor: And it’s true we -- a conversion of this size and magnitude is incredibly complex and difficult, while we were successful in the conversion on January 3rd, post-conversion we have had extraordinary challenges, difficulties in getting people to adapt to the platform, address service issues, address technology issues and the like. And we are working on it and much of this effort has been on the shoulders of a lot of the adviser teams and certainly the people who are supporting them. I can tell you that from the corporate perspective and a Fidelity perspective, there’s an all hands on deck approach to address these issues and week-after-week, we are making incremental progress, and perhaps, in some people’s minds not fast enough, but I can assure you that there’s a huge effort underway. And I think that based on everything that we now know that is impeding people’s ability to process, we have a very clear sort of initiatives underway, both at our side and Fidelity to get to steady state, which we hope that by the end of Q2, everything will be in steady state, but I don’t think we need to wait until Q2. Every week there is significant enhancements in place, so people start experiencing a better outcome. So that’s our plan today and when I look at some of the statistics, there’s two key products that Fidelity has and the one that is impacting us the most is account opening or adjustments to accounts or additions to accounts or revisions to account. And the statistics we had as of yesterday is 92% of the accounts are opening fairly seamlessly. It’s 8% that are not and we are not happy with the 92%, we would like to get to the 99% I know Fidelity is that 8% that’s causing us and our advisers in particular significant friction and we are acutely focused on addressing the 8%. We know out of the 8%, 3% is essentially technology, 3% as it relates to data that was transferred from ours to their platform and 2% is just essentially either user training issues, experience issues or certainly on our side response time. So we are laser light focused on attending to them. It’s a daunting task at the best of times, but we are on it.
Jim Byrne: Okay. And maybe just last one for me, the recruiting pipeline continues to grow, maybe the pace of recruitment should we anticipate that to ramp up? Have you been still kind of delaying people joining the Fidelity conversion and maybe some of the issues there, maybe just give us an idea of what you are expecting for new team here in the short-term?
Kish Kapoor: Well, I will tell you this, that the level of activities increased dramatically since the beginning of the year. In the last month, we have had advisers or prospects representing almost $10 billion in assets have come to our offices and attendant due diligence sessions, which is really a good sign and indication of interest. This week we will probably in the next 10 days, we will be meeting with advisers representing almost $3.5 billion in assets. So all of that activity level has increased dramatically. You will see in the next several days, some people joining us I think. So I would say, it’s a full steam ahead sort of thinking and approach. We will continue to dialogue with them. And that by no means, by the way, all these people are going to join us. I mean they come and meet us, they need other independent firms and ultimately make a decision and sometimes deciding to take six months to seven months. But what I love is the level of activity that we are presently seeing in terms of people considering leaving the institution that there is to join an independent firm. So those are all good signs.
Jim Byrne: Okay. Thanks, Kish. That’s it for me.
Operator: Thank you. The next question is from Jeff Fenwick from Cormark Securities. Please go ahead.
Jeff Fenwick: Hi. Good morning, everybody. So, Kish, I just wanted to follow up on the completion of the Fidelity transition and I know we are expecting to bake in some savings from this. But does this actually elevate some of your expenses in the beginning of the year as you are trying to tackle this and just trying to handicap some understanding, but we can -- how we think about the expense profile coming into this year?
Kish Kapoor: Hey. I am going to ask Tim to address that question. I would say, for sure, internally, we have a massive amount of people cost that are internal costs that are devoted to attending to assisting in the migration and the service experience and the resolution of issues as they come through, but a lot of it is internal. We might have probably some consultant costs that we continue to retain that will extend to January and February. But I don’t think they are anywhere near as significant as what you would have seen in 2022. I don’t know, Tim, do you want to comment on that?
Tim Wilson: Yeah. I think, Kish, is right. Most of the costs are just sort of an opportunity cost of deploying people internally against Fidelity rather than other initiatives. So there’s nothing significant. There probably is going to be a slight uptick in expenses in Q1. But again nothing like you would have seen in Q4 as we really had the pedal down heavy on the Fidelity initiative.
Jeff Fenwick: Okay. And I am just trying to handicap your guidance for EBITDA growth this year, if you annualize the back half of last year, you are running close to $70 million of EBITDA, which would put you above that 10% rate. So is it a question of some revenue falling away or some expense growth or some market headwinds on the AUA balance overall, it might make it tricky to get to that number or how should I be thinking about that?
Tim Wilson: Yeah. And I think -- yeah, I think, you have actually hit on several of the key drivers and it’s all of those in combination. So as I mentioned in my remarks, our assumption currently is that equity markets stay flat over the course of the year. I know they have been up in the first month and a bit, but our view is that there may be a softening ahead and overall, when we look at the average for the year, we are flat 2023 versus 2022. We also have the impact of things like a very large volume of insurance revenue that came through in 2022, which we don’t expect to repeat this year. We had some contracts with third parties in our carrying broker operations last year that ran for the first nine months of 2022 and we generated a few million dollars of revenue from those. Those won’t exist in 2023. So it’s a combination of a number of factors, none are really significant on their own, but together they add up and restrain our EBITDA growth to that 10% slightly more range.
Kish Kapoor: And if I just want to add to that is on the insurance side of the business, while we are continuing to see lots of activity in the insurance side. Last year in 2022 we had a couple of lumpy big insurance policies that we expect will not repeat this year. But they might -- but we are not planning for that. We are saying, which is a broader introduction of insurance across our adviser practices and sort of normal steady state kind of insurance growth as opposed to the big lumpy one that we had in 2022.
Jeff Fenwick: Okay. And then maybe we will switch over to adviser recruitment here. You noted the pipeline being very strong, also noted it’s going to take a little bit more after before you are really well positioned to operationally to take those teams in-house. Is there some risk here to the pipeline, you strike an initial sort of positive interaction with these groups. They give you an indication that they are interested, but if you come back and say, we are not really ready to deal with you until end of the year or something like that? Is there a risk that they get poached, because presumably, they are speaking with some of your competitors?
Kish Kapoor: I mean that’s a good comment. I think there’s always the risk of the pipeline at any point in time, right, because they are talking to everyone. Our goal is to make sure that our pipeline continues to grow, continue to make sure that there’s lots of activity with them, continue to give them full visibility and transparency on our progress to-date, including on all of our initiatives. And we see the activity in January and February here, we had over $10 billion of recruits walk through our offices right across the country, including a few that I met in Calgary, where -- which is really obviously a very important market for us, which is growing at three recruits there, one added $2 billion practice, another $1 billion, another one $500 million. So we are seeing activities actually increase. That doesn’t mean that everybody in that pipeline is still at the same stage of excitement or interest, but our pipeline continues to grow. And the fact that we are seeing another $3.5 billion here this coming week is also very exciting news to me. So the way I have got our team, our team has now grown to, I am just thinking now, almost six to seven people, full-time dedicated to recruiting, engage in conversations every single day with new people right across the country and we are seeing the interest. Yesterday in our offices, we had 30 wholesalers from 30 different companies come and attend, get to know us session. They came from 3:30. They tend to leave till 8 o’clock. I got a good view of who we are? What our brand means? Where the progress that we have made? While all the pieces of the puzzle including Fidelity is not complete in terms of the experience, people can see the signs of everything that they would be able to ensure if they were to come. So to answer your question, the risk, yes, but excitement, I don’t think that’s diminishing at all.
Jeff Fenwick: Okay. And then once you sort of have your -- all your ducks in a row and you can start to open the gates to more active onboarding. What is the throttles the ability to take on new adviser teams. I think you have spoken in the past, you could probably comfortably manage taking in about $3 billion of client assets a year, and obviously, it’s impacted by mix. Is there a way to expand that ability to onboard or how are you thinking about that?
Kish Kapoor: I think ability onboard, right? I mean can easily staff up to do that. But I want to be realistic, like, I know how long it takes for person to decide to come and sometimes six months, sometimes longer. So it’s because of that lead time from the beginning of the discussion to the decision that they made to join takes so long. I think having a realistic sort of expectation of $3 billion is the right thing. We are always trying to attract the people that really understand our story, understand our vision, our commitment for the long term. The fact that we have initial stages of disruption, because we are really breaking the system in order to move forward, this bold strategy to go to Fidelity. And those who share in that view are the ones that were well be focused on, so the pipeline is big. We are trying to get that 14 teams or 15 teams a year that are truly believers. They fit into our model, fit into a culture, fit into our locations, the geographic presence, all of those things are critically important. But if I find that there is a huge demand to come to us and we are starting to see people, starting to make commitments to come to us and we need to scale up on the onboarding, we will do that, because if you can imagine in the last two years, we dedicated all of our efforts to transformation, which is Fidelity and physical footprint, investment and the like and while we have all those resources now we focus barely on growth, right? So repositioning people will make our job easier.
Jeff Fenwick: Yeah. That’s helpful color. Thank you. And maybe I will just squeeze one last brief one in here. Capital expense up a lot last year, obviously, a lot of spend going on around new location in Toronto and some of the other operational initiatives you have had ongoing. How should we think about CapEx going forward here?
Kish Kapoor: I mean let’s Tim speak to that. But I would say, last year we made, what I think, was critically important changes. We had to and wanted to enhance our operations in Calgary and that experience for our advisers in Calgary and we made that. It was disruptive where we got that work complete. We wanted to make sure that we got the Oakville, Burlington and Mississauga offices is the one, that’s a long initiative, but that’s done. Toronto obviously been an initiative that we started in 2018 and got that complete and we now see the benefits of that as clients, advisers, prospects, everyone that comes to our offices and understand why we needed to make that investment and what they see in terms of our brand. And I think in the ones that we need to do are a couple of leases are coming up in Montreal is one, in Winnipeg is one, and I think, we will see the latter half of 2023, early 2024, and the big one is Kitchener and maybe Tim can speak to that.
Jeff Fenwick: Yeah.
Tim Wilson: Yeah. I am happy to. So, I think, Jeff, the quick answer is, capital expenditures are going to come down significantly from last year. In fact, our current forecast is for them to be roughly a third of what they were in 2022 and that number is to decline by quarter. So 2022 involves a lot of heavy lifting around various offices across the country and that will continue a little bit in 2023, but our investments will be less significant. And where we are making them, we think there’s going to be a really positive NPV. So we are relocating our Kitchener office as an example, moving into a spectacular new space. And all of that is intended to accommodate new recruits. So we have teams lined up to join us in that particular market and when we run the math. Yeah, we are investing to build out the new office, but again, the returns more than justify that investment.
Kish Kapoor: I think we can almost triple the size of that business in short order in Kitchener.
Jeff Fenwick: Okay. Thank you. Thanks for that detail. That’s all I had. Thank you.
Kish Kapoor: Thanks very much, Jeff.
Tim Wilson: Thanks.
Operator: Thank you. There are no further questions registered at this time. I’d like to turn the meeting back over to Kish Kapoor.
Kish Kapoor: Thank you everyone for joining us today. As always please feel free to reach out to Investor Relations if you have any further questions, and again, a big shout-out to all our advisers and adviser teams for the hard work they are putting in to get the Fidelity transition working for them and their clients.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.